Operator: At this time, I would like to welcome everyone to the IFF’s First Quarter 2025 Earnings Conference Call. All participants will be in a listen-only mode until the formal question-and-answer portion of the call. [Operator Instructions] I would now like to introduce Michael Bender, Head of Investor Relations. Michael, you may begin.
Michael Bender: Thank you. Good morning, good afternoon, and good evening everyone. Welcome to IFF’s first quarter 2025 conference call. Yesterday afternoon, we issued a press release announcing our financial results. A copy of the release can be found on our IR website at ir.iff.com. Please note that this call is being recorded live and will be available for replay. During the call, we will be making forward-looking statements about the Company’s performance and business outlook. These statements are based on how we see things today and contain elements of uncertainty. For additional information concerning the factors that can cause actual results to differ materially, please refer to our cautionary statement and risk factors contained in our 10-K and press release, both of which can be found on our website. Today’s presentation will include non-GAAP financial measures, which exclude those items that we believe affect comparability. A reconciliation of these non-GAAP financial measures to their respective GAAP measures is set forth in the press release that we issued yesterday. With me on the call today is our CEO, Erik Fyrwald; and our CFO, Michael DeVeau. We will begin with prepared remarks and then take questions at the end. With that, I would now like to turn the call over to Erik.
Erik Fyrwald: Thanks Mike, and hello everyone. I look forward to discussing our first quarter financial results which build on our strong performance in 2024 and demonstrate continued growth and progress toward our strategic goals. Now, despite the current uncertainty and challenges in the wider macroeconomic environment, IFF continues to deliver solid results as we focus on what we can control by delivering top notch innovation to our customers while continuing to reinvest in the long-term value creation opportunities for our business. I'll begin by walking through the quarter as well as the steps we are taking to manage through the current macro environment and further drive long-term profitable growth. I'll then turn the call over to Mike DeVeau, who will provide a more detailed look at our financial results and our current outlook for the rest of 2025. Then we'll open the call for questions. Now beginning with Slide 6, IFF had a solid start to the year with our refreshed strategy and renewed commitment to operational discipline driving solid results across our businesses. As we've heard previously, one element of our enhanced business led operating model was separating our former Nourish segment into two segments of Taste and Food Ingredients. Separating these businesses into focused units enables us to better track their progress, more quickly identify growth and margin opportunities and drive performance and accountability across our portfolio. With this in mind, we are pleased to have delivered strong broad based growth across four of our business segments in the first quarter including Taste, Pharma Solutions, Scent and Health & Biosciences. Volume declined in food ingredients primarily driven by weaker performance in protein solutions due to some pull forward of orders in the fourth quarter and limitations in our capacity that are now being addressed. Also, it's worth noting that part of the top line weakness in Food Ingredients was attributed to planned lower pectin sales as we purposefully walked away from low margin business to focus on higher margin businesses within Food Ingredients. Furthermore, with most segments delivering growth and our ongoing productivity initiatives, we achieved 9% growth in comparable currency neutral adjusted operating EBITDA as this broad based improvement was led by strong performances in Taste and Pharma Solutions and I'm excited to share that we also completed our previously announced divestiture of Pharma Solutions to Roquette two months ahead of our publicly announced schedule. This strategic action further strengthens our capital structure and enabled us to achieve our long-term target of net debt to credit adjusted EBITDA ratio of below 3 times. We are incredibly grateful to the Pharma Solutions team who kept the business running well during the divestiture and for their many contributions to IFF over the years and we wish them well. Now shifting gears for a moment to discuss the current market environment. While I'm encouraged by the momentum we have carried into 2025 and all that our global teams have done to strengthen our financial and operating foundation, broader macroeconomic dynamics remain challenging and as we all know, continue to evolve quickly. We've been through complex macro environments before and what we know from history is IFF is resilient in times like these as we focus on controlling what we can. Our customers and ultimately end consumers rely on the quality of our products and solutions, the expertise of our talented teams, and the trusted partnership for which we are known in our industry. Those values and characteristics are in high demand during times of uncertainty and we are staying focused on execution as we collaborate with our customers to be even more productive as we drive growth. And right now we're working very closely with our customers to mitigate impacts of tariff actions and we continue to stay nimble and disciplined in response to macroeconomic uncertainty, which we expect will continue throughout the year. With this in mind and given what we see currently, we are maintaining our full year guidance ranges at this time, which Mike will discuss in a bit more detail in the back half of the call. With that, I'll pass it over to Mike for a closer look at our results for the quarter. Mike?
Michael DeVeau: Thank you Erik and thanks everyone for joining us today. As Erik said, 2025 is off to a solid start with our global team continuing to execute on our strategy. In the first quarter, IFF generated roughly $2.8 billion in sales, representing 3% comparable currency neutral growth. This performance was led by volume growth across most of our businesses, including Taste, Pharma Solutions, Scent and Health & Biosciences. Adjusted operating EBITDA totaled $578 million for the quarter, a strong 9% increase on a comparable currency neutral basis, while our comparable currency neutral adjusted operating EBITDA margin increased more than 120 basis points to 20.3%. This is the fourth consecutive quarter of margin expansion on a comparable currency neutral basis, a testament to IFF's focus to improve margin and returns. Turning now to Slide 8, I will provide a closer look to our performance by segment. Given our recently completed divestiture, I will begin with Pharma Solutions which had another strong quarter of broad based growth. Pharma Solutions delivered $266 million in sales, an 8% year-over-year increase on a comparable currency neutral basis while also recording strong profitability growth with adjusted operating EBITDA of $54 million, a 19% increase versus last year. These results were driven by broad based growth across all categories and margin expansion was primarily driven by our distribution model change as well as productivity. As discussed last quarter, we have completed the transition to our end-to-end business led operating model and going forward will report segment performance for Taste and Food Ingredients separately. We published an 8-K yesterday which recast 2024 results. As I mentioned last quarter we also adjusted our corporate cost allocations to align with our new organizational structure and updated operating model. In Taste sales were $627 million, a 7% year-over-year increase on a comparable currency neutral basis driven by another excellent quarter for Flavors with broad based volume growth across all regions. The segment also recorded another very strong quarter of profitability with comparable currency neutral adjusted operating EBITDA growth of 22% primarily driven by volume growth, favorable net pricing and continued productivity gains. Food Ingredients had sales of $796 million, a 4% comparable currency neutral decrease from the prior year, primarily due to sales pressures in protein solutions that Erik spoke about earlier. However, we are pleased with the segment's currency neutral adjusted operating EBITDA growth of 5% on a comparable basis as favorable net pricing and productivity helped drive performance. Our Health & Bioscience segment delivered another strong quarter of broad based growth with strong volume growth in health, food biosciences and grain processing, driving a 5% increase in comparable currency neutral sales. As we continue to reinvest in IFF's core high growth segments like H&B, we are pleased to report that volume and productivity gains more than offset our reinvestment with segment delivery adjusted operating EBITDA of $138 million, a 3% increase on a year-over-year comparable currency neutral basis. Lastly, Scent achieved another solid quarter including double-digit growth in fine fragrance and single digit growth in consumer fragrances. Net sales for the quarter totaled $614 million, up 4% year-over-year on a comparable currency neutral basis and we also achieved an adjusted operating EBITDA of $144 million, up 4% on a comparable currency neutral basis as volume growth and productivity gains continued to drive performance. Turning now to Slide 9 to discuss our cash flow and leverage position. Cash flow from operations totaled $127 million year-to-date and CapEx was $179 million, or roughly 6% of sales as we stepped up reinvestment as shared earlier this year. Q1 is typically our lowest free cash flow quarter of the year due to our annual bonus payout and seasonality. We also paid $102 million in dividends in the quarter and cash and cash equivalents totaled $650 million, including $37 million in assets held for sale. As of March 31, our gross debt was approximately $9.3 billion, a decrease of more than $1 billion compared to the year ago period. Our trailing 12-month credit adjusted EBITDA totaled roughly $2.2 billion in line with last quarter, while our net debt to credit adjusted EBITDA remained largely unchanged at 3.9 times. With our successful divestiture of Pharma Solutions, we recently announced the commencement of a debt tender offer as part of our broader strategy to strengthen IFF's balance sheet and optimize our capital structure. This allows us to deliver on our commitment and achieve our target net debt to credit adjusted EBITDA target of below 3 times. Now on Slide 10, I want to take a moment to address the evolving macroeconomic environment and the recent developments surrounding global tariffs. As you are aware, the U.S. Administration's new tariff measures, particularly those impacting China, have introduced a renewed layer of complexity to global supply chains and cost structures. Our IFF global footprint, with manufacturing and sourcing capabilities across many countries gives us the flexibilities to adapt quickly. In past cycles of trade disruptions, including prior rounds of tariffs, we've demonstrated our ability to pivot operationally while continuing to successfully serve our customers. As part of our mitigation strategy, we've taken actions to adjust our purchasing and redistribute our production in ways that minimize our exposure. By shifting procurement to alternative supply sources and balancing production across our global network, we've been able to offset a significant portion of inflationary pressure. In select cases where cost impacts were unavoidable, we are implementing targeted pricing surcharges to recover incremental cost. We do recognize that sweeping changes in global trade policy could contribute to broader macroeconomic volatility, including the potential to tip certain regions into a recession. This risk is not currently embedded in our guidance. However, we are fortunate that the majority of IFF's portfolio is grounded in resilient essential end markets, particularly food, beverage, household and personal care. We view this environment not only as a challenge, but also as an opportunity. Our ability is to serve our customers globally with localized innovation, positions us as a resilient partner, particularly for customers looking to de-risk their own supply chain. Also, amid the evolving environment, we want to reaffirm our commitment to IFF's long-term strategy. We remain focused on strengthening our business through consistent reinvestment in core growth drivers, R&D, commercial, digital and capacity. Even as we manage short-term external pressures, we will not compromise our future. Instead, we are accelerating our efforts to drive structural productivity and operational efficiency. This approach enables us to both navigate today's challenges and continue investing, ensuring we deliver on our profitability commitments while positioning IFF for long-term success. From a financial planning perspective, we are maintaining our guidance ranges for the full year 2025 inclusive of the current tariff situation. We expect sales to be in the range of $10.6 billion to $10.9 billion, representing currency neutral growth of between 1% to 4%. We are now expecting approximately 2% adverse impact on revenue from foreign exchange, down from 4% previously and approximately 7% adverse impact due to divestitures versus 5% previously given the earlier close of the pharma solutions divestiture. From a bottom line perspective, we continue to expect that we will deliver a 2025 adjusted operating EBITDA range of between $2 billion to $2.15 billion representing currency neutral growth between 5% and 10%. We are now expecting approximately 3% adverse impact to EBITDA from foreign exchange, down from 6% previously and approximately 8% adverse impact due to divestitures versus 6% previously, again due to the earlier close of Pharma Solutions. With that, I will now turn it back to Erik for closing remarks.
Erik Fyrwald: Thanks Mike. The solid results we were able to deliver in the first quarter continued to reflect the strength of our execution and our investments in our people and our portfolio. With this growth we have been able to maintain our strong momentum from 2024, complete key divestitures to strengthen our portfolio and meet our deleveraging targets. But we still have a lot of work ahead of us and we are always focused on strengthening IFF, so we can help our customers win in any market environment. Building a strong company means continuing to reinvest in catalysts for our growth, including research and development, commercial capabilities and integral capital expenses that will bolster our foundation and enable us to achieve sustainable, profitable long-term growth for our shareholders. And as we move forward, we'll continue to focus on bringing innovative, sustainable solutions to the market that meet customer needs and delivering value that makes us the clear partner of choice for customers around the world. I'm confident we are well on our way. Thank you. And I'll now open the floor for questions.
Operator: Thank you. At this time, we will now begin today's Q&A portion. [Operator Instructions] The first question is from the line of Nicola Tang with BNP Paribas. You may proceed.
Nicola Tang: Hi everyone. Thanks for taking the question. On the outlook you flagged that this doesn't include any potential recessionary pressures that could arise from the recent shift in trade policy. But you also mentioned that IFF's portfolio is grounded in resilient end markets. Can you talk us through which areas of the portfolio could potentially be at risk and which parts could be more resilient in a recessionary scenario? And do you see any signs of sequential slowdown or caution from your customers so far? Thanks.
Erik Fyrwald: Yes, thank you for the question, Nicola. This is Erik. I'll take it. First of all, our order book so far has stayed consistent with and in line with our guidance. But as you know, and I think all of us feel that, and across industries that there's concern about all the uncertainty. And just for an example, a major HPC company executive recently expressed caution saying that U.S. consumers are, for example, reducing the number of times they do laundry each week. Now, having said that, historically about 80% of our portfolio goes into what we consider essential products and about 20% into discretionary and so the bulk of our portfolio is very resilient. But some examples of the discretionary areas would be fine fragrances, where by the way, we've seen continued strong order pattern, consumer fragrances in the beauty and hair care areas and in the health and the probiotics area. But so far the order pattern has been solid. But we do have concerns as we head toward the back half of the year with all the uncertainty. But we hope that some of that uncertainty resolves itself and things continue as they are today.
Operator: Thank you. The next question is from the line of Josh Spector with UBS. You may proceed.
Josh Spector: Yes hi, good morning. I was wondering if you could expand upon your comments around tariffs. Curious if you'd be able to disclose what you think the gross impact today is on your costs and how much of that you think you can mitigate through some of the actions you talked about and if it is possible to help frame that in terms of 2025 impacts and potential run rate assumptions? Thank you.
Michael DeVeau: Yes, thanks, Josh. Erik, I'll take this one. You know, fortunately at IFF we have a diverse and global operations with local procurement and manufacturing capabilities that has allowed us to migrate and mitigate some of the efforts that you see from a tariff perspective. Overall, most of our tariff exposure is related to China, specifically importing from China to the U.S. and exporting from the U.S. to China. That is the far bulk of it. When we look at it on a gross basis, we have a little more than about $100 million of exposure for 2025 and maybe a little bit around double that for a run rate basis. So it is quite large. The reality is though, the team has done a fantastic job in terms of the supply chain optimization, reducing the exposure quite significantly. For the areas where we cannot cover from a supply chain standpoint. We are working and continue to work with our customers on price insure charges to fully compensate and we're targeting a full mitigation over time.
Operator: Thank you. The next question is from the line of John Roberts with Mizuho. You may proceed.
John Roberts: Thank you. I haven't looked at last night's 8-K yet, but what were the year ago comps for flavors and food ingredients? I'm trying to get at whether the two-year stacks on growth for flavors and food ingredients are significantly different than the one-year numbers you just reported in the quarter.
Michael DeVeau: Yes, thanks John. I'll take this one as well. You know, in summary, Taste is performing very, very well. It's actually on a two-year basis, it's a bit better than what we recorded in the first quarter of 2021. And so just to dimensionalize, it grew 11% last year in Q1 of 2024, 7% this year. So on a two-year basis, 9%. This is very strong across the board no matter how you look at it. So I feel really good about the success and the performance the team is driving there. In terms of Food Ingredients, last year they declined 4%, this year they're declining 4%. So on a two-year basis it's down 4%. The only caveat that I will make is that remember a lot of the performance was driven by price reductions. So this is not a volume number, this is an all-in number. And if you remember last year we strategically lowered prices to make sure we're competitive in terms of overall market conditions. If you normalize for that and you look at a volume basis, it actually in the two years actually stronger in Q1 overall in 2025.
Operator: Thank you. The next question is from the line of Kevin McCarthy with Vertical Research Partners. You may proceed.
Kevin McCarthy: Yes, thank you and good morning. Erik, I'm curious about this €130 million joint venture that you formed with Kemira called Alpha Bio. Can you just elaborate on strategic rationale there, long-term opportunity, structure of the venture and timing of that cash investment, please?
Erik Fyrwald: Great, great question and thank you Kevin. First of all, this Alpha Bio JV with Kemira is a 50/50 JV and it's around scaling our design enzymatic biomaterials, the DEB technology which is breakthrough technology and it's ready to go. For example, we have just recently commercialized with a very strategic partner applications in fabric care that are high value and we'll see nice growth there. But now with Kemira we've committed to building a plant we've already started in Finland, €130 million plant and that CapEx will be spread out over the next two years, 50/50 divided between the two companies and we expect it to start up by the end of 2027. And it will be servicing for Kemira the water treatment market which is a very attractive market and cardboard and paper packaging. For us we will take the technology into other industrial applications which we're developing now and are very excited about. I think the important thing here is that we're taking sugar, feedstock and making high value, biodegradable, cost competitive polymers that will sell into various end markets and have tremendous growth opportunity for the future. And this plant, startup world scale plant, modern plant, I think will be the first beginning of a long series of great applications that we can really grow this business.
Operator: Thank you. The next question is from the line of Ghansham Panjabi with Baird. You may proceed.
Ghansham Panjabi: Hi, good morning. I just want to go back to the comments on Taste. The 7% core sales growth in 1Q. If you could give us a bit more color as to which specific end market verticals may have contributed towards that. On Slide 7 you mentioned volume gains and then also did you see any impact in that segment or any other for that matter, from a pre-buy specific to head of tariffs, et cetera.
Erik Fyrwald: Great. Yes, I'll take this one. Ghansham. Thank you for the question. The Taste team overall is doing a great job of growing their business. Much of this is driven by the increased pipeline where they proactively have targeted a lot of incremental growth potentials and opportunities going forward. What's actually more impressive is actually when you look at the win rate, they're winning much more than their fair share. And so between the combination of a strong win rate and an increased pipeline, I think that's what's driving the majority of the growth in there. To your point, the way I would look at it is I look at it on a region perspective and all the regions have broad based growth, so they're executing at the local level. And from a category perspective, it is broad based growth across most of the categories within the business overall. So it is really, it's a really good culmination of what I would say is a success story for IFF at this point in time. With respect to pre-buy, there could be a modest benefit, but it's hard to tell at this point in time because the trend that we see is consistent in April. And so it's very hard when you think about the pre-buy overall. We'll know more as we progress through the balance of the quarter.
Michael DeVeau: And I would just add quickly that in Taste, Scent and Health and Biosciences, the increased investment in R&D is strengthening our R&D pipeline, which is very important for the years of 2027 and beyond.
Operator: Thank you. The next question is from the line of Patrick Cunningham, Citigroup. You may proceed.
Patrick Cunningham: Hi, good morning. Just on Food Ingredients, what drove volumes lower in protein solutions and how should we think about the outlook there and overall food ingredient volumes for the year and sort of progress towards that 15% margin target.
Erik Fyrwald: First of all, thanks for the question, Patrick. The Food Ingredients turnaround is going very well. Andy Muller, who now runs the business. He knows the business extremely well, was with Danisco before, has come back to IFF if you will and is getting the team and us on the right track. If you recall, in 2023 our EBITDA margin for this business was in the high single digits. In 2024, it was 12% and in 2025 first quarter we got it to 13.9%. So that's all headed in the right direction. And we see that continuing, in the first quarter the volumes were down a bit overall for the year. We see them flattish to slightly down as we focus on selling the higher margin products and decrease our sales in the lower margin products and lower margin applications. Now protein volumes were down due to weaker volume in some of the lower value areas of protein. And in some of the higher value areas of protein we had production issues that are now being resolved. So we're confident in the higher value protein growth going forward and the overall performance of our Food Ingredients business continuing to improve as we planned out and are developing and executing our strategy very well.
Operator: Thank you. The next question is from the line of Kristen Owen with Oppenheimer. You may proceed.
Kristen Owen: Hi, good morning. Thank you for the question. Mike, this one is for you. Just with the pharma sale now complete, you jump started the delevering process. That was largely as expected. But as we look forward from here and given some of this broader macro uncertainty, what's your philosophy on further delevering in terms of balancing that redeployment of capital to grow EBITDA versus using cash to reduce the debt? Thank you.
Michael DeVeau: Thanks, Kristen. Yes, in terms of the balance sheet or our capital structure, I would say our focus right now is completing our debt tender which will result in us getting to the leverage of below three times net debt-to-EBITDA. Not only does this meet our commitment, it also allows us more financial flexibility going forward. And so as I discussed in some of the prepared remarks, our number one priority right now is reinvestment in CapEx to support our core businesses. We have really great core businesses with a lot of growth and margin projections going forward. So what can we do now? The best to support that and that's the investment in CapEx. From there, we're going to look at some bolt-on opportunities in terms of acquisitions, small in nature, but really to reinforce these core businesses in the areas of innovation and commercial capabilities. And then what I'd say is we're going to evaluate capital return to shareholders through our dividend and also look at a potential share buyback program now that we get below three times net debt-to-EBITDA. So more to come on this aspect, but just wanted to frame some initial conversations or thoughts as we go forward.
Operator: Thank you. The next question is from the line of Michael Sison with Wells Fargo. You may proceed.
Michael Sison: Hey, good morning. Nice start to the year. A quick follow-up on Food Ingredients. EBITDA margins first quarter were very good. And you guys talked about net pricing and productivity was noted for the year of increase. How much did each contribute to that? And then it does seem like you're pretty close to your goal of mid-teens. Is there more upside to that longer term?
Erik Fyrwald: Yes. Thanks, Mike. The gains so far have been largely productivity combined with focusing on the higher margin products and applications. And that's going very well and we see that continuing. Now we are committed to delivering the higher improvements for this year on EBITDA margin. And what I would say is through 2026, we're committed to getting above 15%.
Operator: Thank you. The next question is from the line of Salvator Tiano with BofA. You may proceed.
Salvator Tiano: Yes, good morning. So there's been a lot of discussion about artificial dyes. So can you discuss a little bit what's your color exposure? And also given that we may see a structural shift to natural dyes here, is this an area where you would like to expand organically or even through acquisitions?
Erik Fyrwald: Yes. Now, first of all, colors are a small part of our taste portfolio, our Taste business portfolio, less than $50 million. And we're all naturals. So banning artificial dyes is a positive for us. I don't see us making major acquisition moves in this area. I think there are other areas that are more, more attractive to us, but we will continue to grow this business, especially with this dynamic. I think the broader advantage to us of this trend is the push for cleaner labels. And we see that as a big opportunity across our food portfolio.
Operator: Thank you. The next question is from the line of David Begleiter with Deutsche Bank. You may proceed.
David Begleiter: Thank you. Good morning. Erik, given the 3% currency neutral growth in Q1, what would need to happen for IFF to be at the low end of your full year range of 1% to 4% on sales growth here? Also, where are you seeing the greatest stress on the consumer right now? Thank you.
Erik Fyrwald: Thanks David. I think that to go to the low end of our currency neutral sales, we would have to see a significant economic slowdown which some people are talking about their concerns about. But we are also hearing that actions are being taken to mitigate the uncertainty. And so we're hoping for that. All I'll say is that so far our order pattern has given us full confidence that we'll be solidly in that range and we hope that continues. And we're working really hard to do what we can control around bringing more innovation to our customers, around figuring out where in the world are applications, products, customers that we can go and grow with. And our team is very energized and they're out there pushing hard for growth. Any growth that's attractive, profitably that we can get, we're trying to take so that in any economic scenario we achieve our guidance.
Operator: Thank you. The next question is from the line of Lauren Lieberman with Barclays. You may proceed.
Lauren Lieberman: Great. Thanks so much. I just wanted to follow-up on the commentary on the order book. Nothing having changed so far because you pointed out, Erik, you've got the comment on fewer laundry loads from one of the CPG CEOs. But even more broadly than that, we're hearing through earnings season from your customer base, pretty cautious commentary both on recent trading conditions. So seeing significant inventory destocking across the U.S. during the first quarter in some categories, particularly beauty related that extending into the second quarter, actual consumer takeaway turning negative in some categories. So, I'm just a little bit concerned frankly that you haven't seen that slowdown yet on your side because I feel like it's inevitable. So I guess why not incorporate that into the outlook or is it just that areas outside the U.S. are that much more resilient so there's really nothing to worry about at two total company consolidated level. Thanks.
Erik Fyrwald: Thanks for the question, Lauren. And I wouldn't say there's nothing to worry about. We worry plenty and we've got a lot of energy to go out and do all we can to drive growth and drive productivity. So we're on top of this. We're energized by the challenges. What I would say is as Mike alluded to, there might have been some pre buying around tariffs that could be in some of our numbers and some of our orders. But I would also say that we've got a very diverse customer base, we've got a very diverse geographic base and we're going to work, we are working hard to take advantage of that to make sure that wherever we can grow, we will grow. But as we've mentioned before, we are concerned about what could happen economically, particularly in the United States, but also in other markets. China, as you know, is very slow. So we are concerned and we're doing all we can do to drive what we can control. But as we look at what we think are reasonable scenarios, we're continuing to hold our guidance.
Lauren Lieberman: Thank you.
Operator: The next question is from the line of [indiscernible] with JPMorgan. You may proceed.
Unidentified Analyst: Thanks very much. Is the Food Ingredients business more strategic than it used to be in that, my impression is that this might be an asset that could be separated from IFF. How do you feel about that? Or how do you feel about the timing? And then for Mike, can you talk about your cash flow expectations for the year and your CapEx levels?
Erik Fyrwald: Thanks, Jeff. I'll take the first part of that to begin with, and I'll just say, that we just separated our farmers business last week and we were heavily focused on that and getting that done and also getting the cash in and getting our balance sheet strong. So now we are clearly looking at our Food Ingredients business. We think we have great leadership in that business. We think we have a great team. We're on track with our transformation. We're going to continue to do that. We want to get the growth higher and make sure that we're doing the right things to get profitable growth higher as we increase the EBITDA margin overall. And I would say, we're on track with the plan to do that. As we do that. Yes, we'll look at strategic options for pieces or all of our Food Ingredients business, which we talked about before. But right now we're focused on keeping that transformation going, getting it healthier and healthier and making sure that we collaborate across the company to get the most benefit we can out of serving customers with our full line of products. And we like how the progress is being made. And we'll have more to say, I think, in the towards the later part of this year and into next year.
Michael DeVeau: And maybe just Jeff, on CapEx and cash flow, broadly similar to how we guided earlier this year. CapEx about 6% of sales. And we talked about some of those levels of reinvestments in H&B overall. So that's the biggest driver that's driving that up year-over-year in terms of free cash flow. Again, very, very consistent. It's probably around $500 million, which is what we talked about in February, and that includes around $350 million of taxes related to the former pharma divestiture. So on a kind of a normalized basis, you're probably in that $800 million [ph] to $850 million range, which is pretty consistent to where it was in previous years.
Operator: Thank you. The next question is from Lawrence Alexander with Jefferies. You may proceed.
Lawrence Alexander: Good morning, Erik, I was wondering if you could speak specifically to how you think about the inventory cycle and the bullwhip effect and how that might affect IFF? Because in the past I think the supply chain lags have always been kind of a bit of a challenge to adjust for. So what do you see as kind of coming down the pike as kind of inevitable that the company is already preparing for? And then you've mentioned overall demand issues, but I'm just curious more specifically about the inventory cycle.
Erik Fyrwald: Yes, thank you, Lawrence. I'll pass that over to Mike, given his longer history with IFF and the cycles that we've seen. So Mike?
Michael DeVeau: Yes, yes, it's a great, it's a great strategic question. I think some of the commentary here around our cautiousness is just around some of the delay that you can see with customers that as they see end market weakness, they then work back into the supply chain, ultimately coming back to our industry. I think what's different around this time, and I've lived through a couple challenging times at IFF over my 17-year career here. And what's a little bit different is that we just recently came through a pretty significant destocking error both in terms of magnitude and length. And so when I think about inventories and you can look at some big global customers as a percentage of sales over a relative history period, there's not big builds overall. Now, it's hard to tell ultimately what the inventory levels are in the channel at our customer basis. But given that we just came out of a pretty significant destock, we actually don't believe that they're elevated to a point that we could see a meaningful downtick going forward. All that being said, a lot of that cautiousness that we're talking about today is, as we think about the future, specifically second half of this year, we want to make sure that we're prepared in any situation and that's why things like productivity become so important to make sure we maintain and protect our profitability overall.
Operator: Thank you. The next question is from Lisa De Neve with Morgan Stanley. You may proceed.
Lisa De Neve: Hi, thank you for taking my question. Can you please provide us with an update on 2025 input inflation levels, and where precisely you are potentially seeing any incremental raw material inflation? Can you detail which ingredients that are and as well what a lower oil price environment may mean for you? And then I have a very short follow-up from a previous question. Can you share with us, I mean, you've announced this tender offer for certain notes, what sort of net interest savings do you expect from that if that is completed? Thank you.
Erik Fyrwald: Sure, Lisa. So maybe I'll start broadly consistent from an input cost guidance from where we started the year. Now there's a little bit of puts and takes. I think you've seen a little bit more favorability on the food ingredient side, meaning, input costs less than we would have expected. And on the scent side, we actually seen a bit of an uptick. So broadly we're about even overall from a guidance perspective. The drivers of that really are some of the key feedstock ingredients that go into scent overall. To your point that as Brent Crude prices, prices come down, there could be a tailwind. But remember, we have six months of inventory. There's a lot of volatility. So as we think about it, it's more later half of this year and then into 2026. So we're really focusing on making sure we're driving our business and driving margin consecutively over time. So I think that addresses your first question. Your second question was on the debt tender in terms of overall interest rate. The best way I can address that is, I think broadly speaking, our interest expense line item for the full year in terms of guidance would be around $225 million. So that is a step down, because we've been running at a more elevated rate. Obviously with the debt tender overall, it will become more favorable here. So you'll see that as we progress through the balance of the year, a bit of a step down overall in interest expense.
Operator: Thank you. The next question is from the line of Chris Parkinson with Wolfe Research. You may proceed.
Chris Parkinson: Great. Thank you so much for taking my question. When you take a step back just over the last few quarters, could you talk a little bit more about the growth spend you've been seeing in scent and H&B progress you've made as well as your own assessment of your competitive position versus your primary European peers? Thank you so much.
Erik Fyrwald: The growth spend that we talked about last year has continued into this year. It's focused on R&D and commercial areas. It's making good progress. As we alluded to before, our commercial pipelines are strengthening that we'll see that we'll deliver into next year. And our R&D pipelines are strengthening, which will deliver more into 2027 and 2028. But we're very pleased with the level of talent that we've been able to attract. And by the way, some of you heard that we were losing talent a few years ago. We regained some of the best talent that we lost, and we're getting really great talent. And we're very pleased with not only the talent that we're bringing in, but the projects that they're working on and the strengthening of the commercial and the R&D pipeline. So it's going well, it's on track. We're not backing down from the amounts that we talked about before, despite the challenges that we're facing. What we are doing is, we're putting more energy into the productivity side so that we can make sure that in any scenario that we can pay for this innovation and commercial capability. But we are absolutely committed to having long term, strong, profitable, growing company.
Operator: Thank you. There are probably no questions at this at this time. I would like to pass the call back over to Erik for any closing remarks.
Erik Fyrwald: Yes. Thank you for your interest in IFF. I just want to say, that I'm very proud of and pleased with our team. We've tried very hard in the last year, plus to be very clear on what our program is getting back to basics? What our core businesses are and how we're investing in those businesses for long term, profitable growth? We've tried to be clear on the steps that we're taking, and I think that we're delivering on the things that we said that we're going to do and we plan to continue to make that happen and unleash the full potential of IFF. So thank you very much.
Operator: Thank you all. That will now conclude today's call. We appreciate your participation. We hope all of you have a wonderful day and at this time, you may now disconnect your line.